Operator: Thank you for standing by. My name is Van, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lightspeed First Quarter 2026 Earnings Call. [Operator Instructions] I would now like to turn the call over to Gus Papageorgiou, Head of Investor Relations. Please go ahead.
Gus Papageorgiou: Thank you, operator, and good morning, everyone. Welcome to Lightspeed's Fiscal Q1 2026 Conference Call. Joining me today are Dax Dasilva, Lightspeed's Founder and CEO; Asha Bakshani, our CFO; and J.D. Saint-Martin, our President. After prepared remarks from Dax and Asha, we will open it up for your questions. We will make forward-looking statements on our call today that are subject to risks and uncertainties and that could cause actual results to differ materially from those projected. Certain material factors and assumptions were applied in respect of conclusions, forecasts and projections contained in these statements. We undertake no obligation to update these statements, except as required by law. You should carefully review these factors, assumptions, risks and uncertainties in our earnings press release issued earlier today, our first quarter fiscal 2026 results presentation available on our website, as well as in our filings with U.S. and Canadian securities regulators. Also, our commentary today will include adjusted financial measures which are non-IFRS measures and ratios. These should be considered as a supplement to and not a substitute for IFRS financial measures. Reconciliations between the two can be found in our earnings press release, which is available on our website, on SEDAR+ and on the SEC's EDGAR system. Note that because we report in U.S. dollars, all amounts discussed today are in U.S. dollars unless otherwise indicated. With that, I will now turn the call over to Dax.
Dax Dasilva: Thank you, Gus, and good morning, everyone. Last year, we made the strategic decision to focus Lightspeed on two core growth engines: retail in North America and hospitality in Europe. These are markets where we have a proven right to win, strong product market fit and significant headroom for growth. We refocused our product road map, revamped our go-to-market strategy and aligned our organization to execute on that strategy. That strategy is working. Our Q1 results speak for themselves. Revenue of $305 million increased 15% year-over-year and exceeded the high end of our outlook. Gross profit of $129 million increased 19%, also significantly above our outlook of 13%. Payments penetration reached 41%, up from 36% in the same quarter last year. Adjusted EBITDA came in at $16 million, up 55% year-over-year, and we added approximately 1,700 net new customer locations in our growth engines in the quarter, with total growth engine locations up 5% year-over-year. Total locations at the end of the quarter were approximately 145,000 and were up year-over-year. This morning, I want to share how we are progressing against the 3 strategic priorities we laid out at our Capital Markets Day. As a reminder, those priorities are: One, growing customer locations and our growth engines; two, expanding subscription ARPU; and three, improving adjusted EBITDA and free cash flow. On growing customer locations. At Capital Markets Day, we committed to growing customer locations in our core growth engines, North American retail and European hospitality, with a targeted 3-year customer location CAGR of 10% to 15%. In Q1, total growth engine locations were up 5% year-over-year, with approximately 1,700 net new customer locations added in the quarter, a clear acceleration from 3% last quarter. As our go-to-market and product investments continue to scale, dislocation growth will converge towards the 10% to 15% target we laid out during the CMD. Overall, customer location count was net positive for the quarter. Location growth was driven by a go-to-market engine that's becoming best-in-class, anchored in disciplined funnel management across both outbound and inbound channels. Outbound-driven bookings more than doubled year-over-year for our growth engines, and we now have over 130 of our 150 planned outbound reps in seat, the majority of which are still ramping, as it takes approximately 6 months for an outbound rep to become fully productive. We also had a strong quarter in vertical brand marketing, growing our presence in trade shows and customer events. Thanks to our strong outbound and vertical brand marketing efforts, we are seeing a halo effect on inbound, with inbound bookings up 15% year-over-year. We had many notable customer wins this quarter. In retail, we added premium streetwear retailer Last Stop, with 10 locations in Maryland and Virginia; Shades of Charleston, a 4-location eyewear retailer in South Carolina. Within NuORDER by Lightspeed, we added Neiman Marcus and Bergdorf Goodman and marquee brands Fabletics and Tory Burch, displacing key competitors and reinforcing our position as a dominant B2B platform in retail. And in golf, we signed Western Golf Properties, with 11 locations in California and Nevada. In hospitality, we added La Petite Chaise, the oldest restaurant in Paris; Aan de Poel, a two Michelin Star restaurant in Amsterdam; and the Corrigan Collection, with 7 locations across the U.K. and Ireland by Michelin starred chef, Richard Corrigan. On driving software revenue and ARPU. Q1 software revenue grew 9% year-over-year, and software ARPU increased 10%, driven by product innovation as well as sales of our flagships, primarily to retail customers in North America and hospitality customers in Europe. In retail, we launched Customer Inventory Adjustments, allowing for detailed tracking of stock changes. We added Inventory Turns and a gross margin return on investment metric within Retail Insights. We further improved the Lightspeed Scanner app to allow for product search, inventory checks and pricing. And within NuORDER by Lightspeed, we launched Order Trends, which helps merchants identify the top-selling products by brand. Early adopters have seen a 10% increase in average order value. In hospitality, we launched our AI-powered Benchmarks & Trends in Europe, giving restaurateurs visibility into how their performance compares to peers by region, cuisine and price points, a feature already proven in North America. We rolled out Mobile Tap on Lightspeed Tableside in the U.K., Netherlands and Belgium, improving table turnover and service speed. We further enhanced Kitchen Display System with features such as prep insights and menu updates, and added deeper insights to the Lightspeed Pulse app, such as bestsellers and top staff. And we introduced a new sales report dashboard, consolidating all key metrics into a customizable real-time view to help operators plan smarter and optimize margins. This kind of innovation, tailored to high-value merchant needs, helps drive higher win rates, ARPU expansion and grow customer lifetime value. On expanding profitability, Asha will walk through the numbers in more detail, but I want to underscore a few things. First, Lightspeed continues to deliver strong software gross margins of 81%, a reflection of the mission-critical nature of our platform. Our customers run established businesses, and they value technology that helps them manage their inventory, organize staff, access capital and improve the customer experience. That value is evident in both our industry-leading software margins and our other growth metrics. Second, our adjusted EBITDA performance in Q1 of $16 million increased 55% year-over-year and is a clear sign that our model is working. Importantly, we were able to significantly improve adjusted EBITDA while continuing to invest in outbound sales, vertical marketing and in-product technology. We're proving that Lightspeed can invest meaningfully in growth while improving profitability. In closing, we laid out a bold strategy, and in Q1, we delivered. I want to thank the entire Lightspeed team for a strong start to fiscal '26. With that, I'll turn it over to Asha.
Asha Hotchandani Bakshani: Thanks, Dax, and welcome, everyone. Lightspeed had a great start to the year, with revenue and gross profit coming in well ahead of our initial outlook, thanks largely to expanding locations within our growth markets, increasing software ARPU, strong payments penetration and relentless operating efficiency, which is now a part of the Lightspeed DNA. I will walk you through a detailed look at our financials and then provide our Q2 and fiscal 2026 outlook. Total revenue grew 15%, ahead of our outlook, driven by software ARPU expansion and increasing payments penetration. Revenue growth was primarily generated by our growth markets of North America retail and European hospitality as more and more customers move on to our platforms and attach new software modules. In addition, we benefited from improving same-store sales, thanks to a more stable macro environment. Software revenue was $90.9 million, up 9% year-over-year, with software ARPU up 10% year-over-year. Software ARPU increased due to new software releases, along with the benefit of pricing actions taken last year. Transaction-based revenue was $204.6 million, up 18% year-over-year. Gross payments volume grew 21% year-over-year, and capital revenue grew 34% year-over-year. Gross payments volume as a percentage of gross transaction volume came in at 41%, up from last quarter and year-over-year. Overall GTV grew by 4% to $24.6 billion, and total average GTV per location continues to climb as we continue to sign more high- value customers. We saw GTV in our growth engines accelerate this quarter to 12% year-over-year, with growth engine locations up by 5% year-over-year. ARPU reached a record $655, up 16% year-over-year, driven by both higher software and payments monetization. ARPU grew across both our growth and efficiency markets, with growth markets outpacing the overall average. ARPU in our growth markets is higher than our efficiency market. And as those locations grow, I expect it to have a positive influence on overall ARPU. With respect to profitability and operating leverage, total gross profit grew 19% year-over-year, exceeding both revenue growth and our 13% outlook, driven by strong top line performance and expanding gross margins in both subscription and transaction-based revenues. Q1 gross profit benefited from new software modules released last year, as well as the price increases that were put through mid last year. Total gross margin was 42%, up from 41% last year. Despite transaction-based revenue increasing to 67% of sales from 65% of sales last year, gross margins improved through initiatives including effective spend management and the growth in higher margin revenue, such as Lightspeed Capital. We delivered strong software margins of 81%, up from 79% a year ago, largely driven by cost discipline. Gross margins for transaction-based revenue were 29%, up from 26% last year. This improvement reflects growth in our capital business and the expansion of payments in international markets, where margins exceed those in North America. As we convert customers to Lightspeed Payments, we increased our overall net gross profit dollars. And in the quarter, we saw transaction-based gross profit grow 30% year-over-year. Total adjusted R&D, sales and marketing and G&A expenses grew 15% year-over-year, primarily due to meaningful investments we are making in field and outbound sales, as well as product innovation in our growth engine. Adjusted EBITDA in the quarter came in at $15.9 million, increasing 55% from the $10.2 million we delivered in Q1 last year, driven by continued success from our strategic shift and our relentless focus on operating efficiency. Adjusted free cash flow is nearing breakeven and came in at $1.7 million used in the quarter. Free cash flow adjusts for cash related to our merchant cash advance business and includes our capital expenditures. We continue to actively manage our share-based compensation and related payroll taxes, which were $14 million or 5% of revenue for the quarter versus $11.7 million or 4% of revenue in the same quarter last year. We continue to manage equity usage prudently. With respect to capital allocation and our balance sheet, we completed our fiscal 2026 normal course issuer bid of approximately 9 million shares, returning $85 million back to shareholders in our first quarter. In addition, we opportunistically used $30 million to repurchase our stock in the open market to fund future RSU settlement obligations, limiting share dilution upon settlement. Excluding these two items, which were elective, our cash balance would have increased over the previous quarter. We ended Q1 with approximately $448 million in cash. Approximately $200 million remains under our broader Board authorization to repurchase up to $400 million in Lightspeed shares, and we continue to be opportunistic on further share repurchases. Our balance sheet remains healthy and positions us well as we continue our strategic focus. With respect to our efficiency market, we continue to retain revenue, with location churn largely offset by continued strength in payments penetration, capital revenue growth and higher ARPU. It's worth highlighting that payments penetration for these markets is 35%, below our global average, which we view as a meaningful opportunity. We believe there's strong potential to increase adoption amongst these customers. Now turning to our outlook. Despite a fluid macro environment, we maintain strong conviction in our strategy and ability to execute. This financial outlook is consistent with our targeted 3-year gross profit CAGR of approximately 15% to 18% and our 3-year adjusted EBITDA CAGR of approximately 35% that we presented at our Capital Markets Day in March. For the second quarter, we expect total revenue in the range of approximately $305 million to $310 million, total gross profit growth of approximately 14% year-over-year, total adjusted EBITDA to be in the range of approximately $17 million to $19 million. For fiscal 2026, we continue to expect revenue growth of approximately 10% to 12% year-over-year, gross profit growth of approximately 14% year-over-year and adjusted EBITDA to be in the range of approximately $68 million to $72 million. With that, I'll turn the call back to the operator.
Operator: [Operator Instructions] Your first question comes from the line of Dan Perlin from RBC Capital Markets.
Daniel Rock Perlin: Good to see the results kind of trending in line with the strategy here. The question I have around subscription revenue growth of 9%, I think subscription ARPU, kind of 10% growth. It sounds like the pricing initiatives from last year were a part of that incremental growth versus, let's say, location growth. So I'm wondering if you could just speak to how much of an opportunity that you might still see within the pricing metrics that you have when you think about incremental new signings as well as maybe some of the backlog?
Dax Dasilva: Thanks for the question. So yes, we view the 9% software growth in Q1 as a solid result. We saw a 7% last fiscal year. Ultimately, subscription revenues is tied to new customer adds, where we showed location growth in our growth engines this quarter, really excited to show that momentum, as well as product adoption, and both of these are trending in the right direction. So we did see the impact of price increases this quarter from last fiscal year that are rolling through this fiscal year. But that said, our growth engines are growing. We're seeing stronger ARPU and we made large investments in sales and product. And so we will see software growth continue to grow. It won't be overnight, but we're definitely headed in the right direction.
Daniel Rock Perlin: And then just a quick follow-up, in particular, on the new location growth. Also very good to see that 5% year-over-year. You did talk about, I guess, expecting that to continue to ramp towards, let's say, a 10% growth rate over time. I'm wondering if you have any kind of contextual expectations about the duration it might take in order to achieve kind of the double-digit growth rates there?
Dax Dasilva: Yes. The CAGR is for 3 years. So we'll see that growth rate for locations converge towards 10% to 15% towards fiscal '28. But yes, I believe we're off to a strong, strong start in the growth engine. And this is our first quarter of the transformation. We are ramping our sales organization, so we have 130 of the 150 outbound reps in seat. Many of them are ramping towards being -- going towards full quota. We're also seeing from the outbound, all the outbound efforts and vertical brand marketing efforts, a halo effect on inbound. So we're feeling positive about location growth. In addition to the investments we're making in the sales organization, we're making significant investment in product and technology in the growth engines. That's being funded by efficiency and funds from the efficiency market. So that all is going to pay off in the quarters to come and result in further location growth.
Gus Papageorgiou: Ben, can we go to the next question, please?
Operator: Our next question comes from the line of Trevor Williams from Jefferies.
Trevor Ellis Williams: I just want to go back, maybe we could revisit some of the upside drivers for Q1, both on revenue and gross profit. And then just in terms of the shape of the year, I think last quarter, at least with how the year had been laid out, we're kind of building to a progressive acceleration over the course of the year and then just based on the Q1 outperformance and keeping kind of the full year guide where it is, it's just a slightly different shape with kind of what's implied deceleration-wise off of Q1. So just curious if there was anything unsustainable in the first quarter? Or if maybe now there's maybe a bit more embedded conservatism for the balance of the year? That would be helpful.
Asha Hotchandani Bakshani: Yes. Thanks for the question, Trevor. I'll take that one. Q1, you're right, we did see solid execution, and that's what you're seeing in the results. Our strategy is really starting to pay off. But with respect to the guide, what we need to keep in mind, as Dax just mentioned, is we're very early days in our transformation. We're 4 months into the year. And as Dax said, we have 130 of 150 reps in seat, but less than half of them are fully ramped. So we just want to make sure that we give them the time to ramp before we start to increase the guide for the year. The guide for the year is a range. While we're confident we're trending at the high end of that range, we're not going to increase the guide at this time. Outside of that, really no onetime things in Q1. I mean, Dax talked a little bit about the price increase which we did midway through the year last year. You're seeing the full benefit of that in Q1. But as our outbound reps continue to ramp, we expect this solid execution to continue.
Trevor Ellis Williams: Okay. I appreciate that. And then just any color on kind of how quarter-to-date trends have looked in July on some of the key drivers would be helpful.
Asha Hotchandani Bakshani: Yes. We did see the macro stabilize in April in Q1, and we continue to see that in July. And then from an internal execution perspective, we're really excited and encouraged by what we're seeing. July continues to look a lot like the first quarter, and we're excited about the execution internally as well.
Operator: Your next question comes from the line of Thanos Moschopoulos from BMO Capital Markets.
Thanos Moschopoulos: Can you talk about the same-store sales dynamic in retail versus hospitality? Was there a meaningful difference there? Or were they similar?
Asha Hotchandani Bakshani: Thanks, Thanos. Yes, the same-store sales in European hospitality were better than North America retail. We actually saw double- digit growth in European hospitality and low single-digit growth in Nor Am retail. A part of that in Europe, however, is also FX. But from an FX neutral perspective, we did see stronger growth in same-store sales in Europe. But outside of that, no other major differences in both of those markets.
Thanos Moschopoulos: Great. And then in terms of the vertical marketing strategy, any specific verticals you'd call out where that's especially resonating? Or would it just be across your main key verticals you've talked about historically?
Dax Dasilva: Yes. I mean, we have our 8 key verticals in retail. Some examples of some trade shows that we've done are the running shows, outdoor sports shows. We're integrated, of course, with the brands through NuORDER in those verticals. So we're pitching Lightspeed solutions both from the merchant side as well as the brand side. And it all comes together at these trade shows. So that makes a ton of sense for Lightspeed, in addition to doing trade shows as well for European hospitality. We also did Lightspeed Edge, which was a customer event. That's one of many customer events we have planned, both sides of the pond for retail and EMEA hospital. And just connecting with the thought leaders and influencers and prospects, customer prospects in these markets through vertical brand marketing. There's definitely a halo effect that's both for outbound and for inbound channels. And that's how we -- what's going to fuel our acceleration in customer location count over the coming quarters.
Operator: Your next question comes from the line of Josh Baer from Morgan Stanley.
Joshua Phillip Baer: Congrats on a great quarter. Dax, a 2-parter on AI. I just wanted to ask how you expect AI to impact retail and hospitality at a high level? And then second, what is Lightspeed's AI strategy?
Dax Dasilva: Yes. So I think AI is certainly contributing to the progress that we've made in efficiency in Q1 and the continuation of what we saw last fiscal year. We use AI at Lightspeed primarily to automate the repetitive and predictable tasks and also to drive insights for the business. So from a Lightspeed company perspective, we've deployed AI across support. Almost 70% of chat interactions are now answered by AI. It's being implemented across our sales funnels as we scale our sales organization. Development teams are using copilots to increase efficiency and velocity. So we've seen a lot of benefit from that, with more to come. From the product side, we're excited to have released AI features all throughout last year. We have a very high velocity across our development teams. Some examples are AI Web Builder for our e-comm product, using generative AI, as well as Benchmarks & Trends, an AI-powered tool for hospitality, as well as tools to enhance photos, configure menus, write product descriptions in e-comm. Throughout the product, I think we can save merchants time. At the end of the day, retailers and restaurateurs go into these businesses because they're passionate about cuisine, they're passionate about the vertical that they're in in retail and all of the back-end admin tasks, that's -- they didn't join these businesses or start these businesses to administrate Lightspeed's back office. And that's where AI can come in and really remove some of the repetitive tasks and give them more leverage to add value where they best add value to their businesses.
Operator: Your next question comes from the line of Timothy Chiodo from UBS.
Timothy Edward Chiodo: Great. So Dax, I think you mentioned earlier that for the investment behind sales, you're already at 130 of the 150. You also mentioned some of the time line to get productive and many of those are ramping up and it takes about 6 months or so to hit those quotas. I was wondering if you could talk a little bit about those quotas, meaning, are we talking about locations per month? And if you could put some rough numbers around what the expectations are? Is it based on volume broadening? Is it broad based on an expected lifetime value or gross profit levels or any other metrics that you could put around what the expectations are on a per-sales representative basis?
Dax Dasilva: Yes. I'll just start by saying outbound is a super successful way for us to target and win those high GTV customers. We expect to see strong unit economics and payback ratios in our growth markets for reps that are fully ramped. I'll let J.D. jump into a little bit of the -- what we expect from each ramp.
Jean-David Saint-Martin: Yes, ultimately, every single outbound rep is measured in a very diligent way. We look at number of demos booked, number of demos attended and bookings per month. And then we triangulate the bookings back to the cost of the motion. And what we're really pleased to see is that we continue to see the same strong payback ratios that we saw last year. Even if we're hiring a lot more reps this year, we're very, very focused on that payback and efficiency metric, and we continue to see the progress there. So we're very, very enthusiastic with the progress we're making across the board, not just in EMEA hospitality, but also on retail with their outbound efforts.
Timothy Edward Chiodo: Perfect. And as a related follow-up, can you just recap some of what those expected either payback periods are and/or the LTV to CAC levels that are sort of expected from this initiative?
Jean-David Saint-Martin: Yes. We've seen last year, high single-digit, low double-digit payback ratios. So months payback on the cost of the motion, and we continue to see that when we look at ramp preps. Best-in-class as far as what we see in SaaS. And so that's what we're hyper-focused on, and we continue to see that.
Operator: Your next question comes from the line of Tien-Tsin Huang from JPMorgan.
Tien-Tsin Huang: Good results here. I just wanted to ask for you, Dax. Just thinking about products and product velocity. I know it's a big theme for the sector right now. What products are attaching well from the last 12 months? What are you excited about next that's coming out? I'm just curious about what's on the product pipeline.
Dax Dasilva: Yes. I mean, we're really excited on both the retail front and the hospitality front. On retail, we've seen a lot of success with insights. These are insights into how to turn inventory so businesses can be more profitable. We approach that from the in-store level, but also from the ordering side. I mean, that's something really unique about the Lightspeed Retail offering is what is how we integrate with NuORDER. We're really starting to see benefit from that integration with NuORDER in our key 8 verticals because no other competitor offers that end-to-end solution for inventory. And so there's -- you'll see a lot of acceleration in terms of our product road map around inventory from the store level and also from ordering for brands. A lot of our announcements this quarter around inventory and around NuORDER. And you'll see, we're attracting really, really big brands and really big retailers to the solution as a result. And so expect to see more in that direction on the retail side. And more -- since we have a wealth of data, more AI-powered insights to capitalize on the unique position that Lightspeed has in this ecosystem for those verticals. On the hospitality side, we have an amazing suite effect. So that means we have a great tool to serve customers with Lightspeed Tableside. KDS, our Kitchen Display System, coordinates the kitchen side. And then our Pulse app is the third part of the solution, and that's for the management administration layer. And that's a really unique set of features that we're building upon. We're adding AI insights too that we have some really, really exciting things in the road map to really just take what we have, which is the industry-leading solution and pan-European solution, the only pan-European solution for hospitality and just continue to build out that lead with further enhancements to this incredible suite.
Tien-Tsin Huang: Great. That's good. Just a quick follow-up. I know Tim asked about the sales growth and productivity. Just -- I'm curious, is there any update, thoughts on leveraging indirect sales or selling through partners?
Dax Dasilva: Yes. I think partnerships is the third part of the puzzle. Inbound is where Lightspeed has been traditionally really, really strong. We're investing a lot in growing in outbound, but we're still growing inbound. Inbound has also seen a 15% halo effect from all of our investment in outbound and vertical brand marketing. The partnership is the third part of the puzzle. That's an area of the business that will -- that over the coming years, is going to see a big -- it will contribute a lot to the overall revenue. And I'll let J.D. talk a little bit more about what we're doing there.
Jean-David Saint-Martin: Yes, to build on Dax's answer, we've always actually been strong in partnerships since day 1 when the product was originally built on the retail side, that was a big channel for us. And here, we leverage two types of partners. So we have referral partners that send leads to our team internally that we close, and we also have a strong reseller network, particularly in Europe. Obviously, a strong focus this year is on outbound given our ability to target high GTV/ICP customers, but you can expect that we'll continue to see growth as well from partnerships, and that will be a story for years to come too.
Operator: Your next question comes from the line of Dominic Ball from Rothschild.
Dominic Ball: Great numbers on GTV growth, and it's the best since -- seems to be around about Q2 2022. So as an understanding for sort of the balance for what's driving this growth, it seems to be a mixture of improved same-store sales, more outbound sales, which then also help inbound, and then potential cross-selling from the NuORDER as well. Is there any -- just to help us understand this best, is there any one channel there that's driving incremental GTV over the others?
Dax Dasilva: Well, I think overall GTV grows when we grow locations. And so that's, I think, one of the key drivers. We grew GTV 4% overall, but in the growth market, we grew GTV 12%. So in our growth engines, where we're adding locations and where we're investing, GTV is growing even faster. I'll let Asha dive a little bit deeper into some of the dynamics around GTV.
Asha Hotchandani Bakshani: Yes, sure. Thanks for the question, Dominic. So just to add on to what Dax said, the GTV growth is coming primarily from the growth portfolio given how well we're doing on locations there. If we look at North America retail versus EMEA hospitality, we're seeing stronger growth in EMEA hospitality, in particular, from the same-store sales perspective, but there are also several verticals in retail that have been quite strong this quarter. So we're seeing bike come back to single digits -- positive single digits from being down for several quarters. We're seeing toys, for example, have a very strong same-store sales quarter in retail. So several verticals in Nor Am retail are doing very well, but quite a bit of the growth did also come from EMEA hospitality.
Dominic Ball: That's great. And if I can just sneak one more in, if that's okay. There seems to be maybe a little bit of a step-up in investment from peers right now. So in the U.S. retail POS market, Clover stepping up the sales and marketing, Shopify is investing more in the European restaurant market. I mean, Shift4 and Global Blue, Toast one day will probably expand there as well. So do you expect maybe a little bit of a higher cost of growth from here onwards as well?
Dax Dasilva: Yes, certainly, there's always going to be competition in the market. We're hyper focused on our particular verticals, the 8 key verticals in North America retail and the key cities in Europe where we're expanding our European hospitality customer base. I think we have a good differentiated position in these markets, and we're going after a particular customer that's higher GTV than a lot of these competitors. There's a lot of names in the space, but there's a lot of different segmentation in retail and hospitality. And so that's what we built our strategy on, and that's where we have the ability to have real customer wins.
Operator: Your next question comes from the line of Kevin Krishnaratne from Scotia.
Kevin Krishnaratne: First question, you mentioned in the growth markets that ARPU outpaced the broader average. How about software ARPU? How is that trending? And I guess, related to that, your 9% software revenue that you printed, how do you think about how that evolves over the coming quarters in the context of your 10% to 12% total revenue guidance?
Asha Hotchandani Bakshani: Yes. Thanks for the question, Kevin. So yes, software in the growth portfolio, software ARPU was higher than in the efficiency or the rest of world portfolio just by virtue of the fact that the primary product in our growth portfolio are our flagships in EMEA hospital and Nor Am retail, and that's where all the product innovation is happening. And so when you think from a software module attach perspective, we're seeing much higher software ARPU in the growth portfolio. But consolidated, we're seeing a 10% growth year- over-year, which is still very healthy. From a software growth perspective, the 9% year-over-year, we're very pleased with that growth. We do expect that growth to continue to improve. We just need to keep a few dynamics in mind, such as price increases midway through the year last year. But at the same time, we're expecting outbound to continue to ramp. So we expect software growth to continue. It's not going to happen overnight, as Dax mentioned earlier, but over time, absolutely.
Kevin Krishnaratne: The second question, you mentioned double-digit same-store sales growth in Europe, FX might have helped there. Just on your overall top line revenue, 15%, you have a number of what your revenue growth would have been on a constant currency basis?
Asha Hotchandani Bakshani: Yes. It was, I would say, a couple of points under that. It wasn't too much of an impact because European hospitality, when you think about 100% of the Lightspeed revenue is not the most significant part. But it definitely did help the top line. So I would say FX is a couple of percentage points on the 15%.
Operator: Your next question comes from the line of Koji Ikeda from Bank of America.
Koji Ikeda: I wanted to ask you -- maybe take a few steps back and ask you a bit of a more philosophical question of how you're thinking about growth and profitability, really, your focus on profitable growth. And so it does feel like we're heading into a period of more certainty with regulatory noise, especially around tariffs and maybe even a potentially better macro over the next 12 months. And so I know you're focused, like hyper focused on profitable growth, but how do you balance that against the potentially improving demand environment? I mean, I guess the question here is, how do you make sure you're not leaving anything on the table?
Dax Dasilva: Yes. I think that's a great question. I think our strategy is designed so that we are not leaving anything on the table. We -- we're investing a tremendous amount in growing outbound, ramping outbound. It's going to take time, but we're already seeing results, as well as product investments to grow that competitive moat. I think that -- I think you're right. I think that we've seen the macro stabilize, although there is volatility and tariffs are a factor, but we've also seen the retailers in our customer base that order, that imports their inventory. We've seen them have strategies often using Lightspeed NuORDER to manage their suppliers. They have strategies to manage that since the beginning of the year, right? So I think that for us, we are -- we have an aggressive growth strategy from our perspective. I think what we're able to show with these results is that we're able to make those investments in the growth engines, funded by our efficiency markets, make significant investments. Our product and technology investments more than -- $50 million more this year, and we've never ramped -- had a ramp like this in our sales organization in our history in this short amount of time. I think all of those exercises are new for Lightspeed in terms of their scale, but they're going to give us confidence to plan more -- to plan further growth initiatives that are as aggressive in future years. We're in a 3-year transformation. This is our year 1 plan. And we're always cognizant that we want to capture as much demand as possible and grow market share and have as many customer locations as we can.
Operator: Your next question comes from the line of Todd Coupland from CIBC.
Todd Adair Coupland: A lot of questions on growing the rep count. I'm just wondering, when you get to the 150 and they are performing at your targeted levels, does that get you into that 10% to 15% location growth? Or would you need to build on that team?
Dax Dasilva: Yes. The 10% to 15% CAGR is a 3-year CAGR. So yes, we do expect that our 5% at the end of Q1 to converge to 10% to 15% over -- between now and fiscal '28. But yes, as these reps ramp, you're going to see acceleration in the customer location growth and that growth number.
Todd Adair Coupland: Okay. And my second question has to do with payments attached and the very strong transaction growth. That seemed a little bit stronger than expected. Was that a favorable mix relative to where Lightspeed payments are attached, or are you attaching at a higher rate and we should expect that to actually trend even higher as we go through the year? Just talk about expectations there.
Asha Hotchandani Bakshani: Yes. Thanks, Todd. I'll take that one. So the penetration rate at the end of Q1 or in Q1 was quite healthy. We saw a 6% growth year- over-year. That's really a result of solid execution on our part. Every eligible customer must take payments now, as you know. But also, payments penetration is a function of what's happening in the underlying macro. And so the payments penetration rate, rather than being a barometer, a measurement barometer for performance, is more an opportunity metric. Like that's the opportunity in front of us, what's not yet monetized. But we're very excited about where payment penetration is going. We expect that March upwards to continue, depending on what's happening in the underlying macro. The rates vary quarter-to-quarter, but very, very confident in an upward trajectory here.
Dax Dasilva: One thing to add is that in our efficiency markets, we're only 35% penetrated due to non-competes. And so we are going to focus on growing the payment penetration in that market. And so there's no real impediment to getting to the corporate average there. I think that will get some attach from us and drive the overall rate.
Operator: Your next question comes from the line of Raimo Lenschow from Barclays.
Raimo Lenschow: Perfect. Actually, can I stay on that one? If you think about that, it's -- as you said, payment penetration is more an output, and the 35 is obviously like a low point that you can go further. How much of a -- if you think about it, like how should we think about then on a more quarterly level, like how to kind of drive that higher? Is that something -- whether we look at milestones, where non-competes come out and then there's going to be a step change? Or like, how do you see that evolving this year and going forward?
Asha Hotchandani Bakshani: Yes. Thanks for the question, Raimo. I think we're -- the way we should think about it is a gradual improvement quarter-to-quarter. There's going to be non competes rolling off. There's going to be more opportunity in one region versus another and then there's the dynamics of the underlying GTV. So I would say from a modeling perspective, gradual improvement quarter-to-quarter is what we should expect.
Raimo Lenschow: Okay. Perfect. And then one for Dax. Obviously, the world is changing with GenAI surge as a way for e-commerce guys to kind of get their business done is kind of maybe changing and we're doing more ChatGPT, et cetera. I mean, you talked earlier about like here, how you're kind of using AI, but it sounded more like internal. How do you think about like you need to change and your retailers need to change to kind of do well in this new world?
Dax Dasilva: Yes. I mean, certainly, I did cover a little bit about what we are doing on the product side. So that is really enabling our merchants, whether they're retailers or restaurateurs to save time in the back end. So that's being able to generate a website using AI that's already in our retail product as well as doing photo enhancement, image -- sorry, product descriptions on the hospitality side, configuring menus, which can be onerous. And we have a tool called Benchmark & Trends in hospitality that's powered by AI that lets you as a restaurant compare your menus, your results, your staffing to other restaurants in the neighborhood so that you have the right pricing, the right staffing. So I think it's going to transform the way that retailers and restaurateurs operate their business. I think it's going to give them more leverage, allow them to be more profitable and allow them to spend less time on the low-value portion of their business in terms of what takes up their time and in terms of admin and spend more time on the high-value, differentiated things that they do in regards to curating product, curating menus and the things where they add the most value as entrepreneurs.
Operator: Your final question comes from the line of Richard Tse from National Bank Financial.
Richard Tse: With respect to your wins in your target markets, can you give us maybe a sense of the mix of those wins from Newly formed businesses versus established merchants? And on the latter here, is that still largely displacing the incumbents?
Dax Dasilva: Yes, I'll pass it off to J.D.
Jean-David Saint-Martin: Yes. Honestly -- thank you for the question, Richard. The trend remains very similar to our answer last quarter. So as far as displacements, what we see is about 1/3, 1/3, 1/3. So we displace 1/3 from legacy providers in the space, 1/3 for more, let's say, modern peers. And then we also see 1/3 coming from new business formation. And so we continue to see that trend. Obviously, as I highlighted with the strategy, we're hyper, hyper focused on the key verticals in Nor Am retail and EMEA hospitality. And so we expect that trend to continue as we continue to focus on those segments.
Richard Tse: Okay. And my second question, you've been incredibly aggressive on capital allocation on the buyback side, obviously, with the scaling profitability here. Should we expect that pace to continue through the rest of this year?
Asha Hotchandani Bakshani: Yes. Thanks for the question. We've completed our NCIB, our normal course issuer bid, for this fiscal year. That was done in the first quarter. We returned about $86 million to shareholders in the quarter. With respect to future buybacks, we're going to continue to remain opportunistic. There are other avenues with which we can continue to buy back. Outside of an NCIB, we're going to remain opportunistic, and we still have $200 million left on our Board authorization. So we'll have a look at what's happening in the market and make sure that we take advantage of the opportunity when and if it arises.
Operator: I will now turn the call back over to Gus for closing remarks.
Gus Papageorgiou: Thank you, Van. Thanks, everyone, for joining us today. If anyone has any further questions, please reach out to myself, I'll be around all day. And we look forward to speaking to you at our next conference call, and have a great day, everyone.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.